Operator: Good afternoon, ladies and gentlemen. Welcome to Vale's conference call to discuss the 2Q 2018 results. At this time, all participants are in a listen-only mode. Later we will conduct a question and answer session, and instructions will be given at that time. [Operator Instructions]. As a reminder, this conference is being recorded and the recording will be available on the company's website at vale.com at the investors' link. This conference call and the slide presentation are being transmitted via Internet as well, also through the Company's website. Before proceeding, let me mention that forward-looking statements are being made under the safe harbor of the Securities Litigation Reform Act of 1996. Actual performance could differ materially from that anticipated in any forward-looking comments as a result of macroeconomic conditions, market risks, and other factors. With us today are Mr. Fabio Schvartsman, President and CEO; Mr. Luciano Pires, CFO; Mr. Peter Poppinga, Executive Director, Ferrous Minerals and Coal; Mr. Eduardo Bartolomeo, Executive Director, Base Metals; Mr. Luiz Eduardo Osorio, Executive Director, Sustainability and Institutional Relations; Mr. Alexandre Pereira, Executive Director, Business Support; Mr. Alexandre D’Ambrosio, General Counsel; and Mrs. Marina Quental, Director of People. First Mr. Fabio Schvartsman will proceed to the presentation, and after that we will open for questions and answers. It is now my pleasure to turn the call over to Mr. Fabio Schvartsman. Sir, you may now begin.
Fabio Schvartsman: Thank you. Good morning to all. It is a special pleasure to have you in this quarter call. This quarter is actually a very special one for us in management for Vale, the reason being not only because we had predicted the good result in the quarter, but the quality of these results was very good, as I am going to explain in the sequence, and it is very important for us to see several aspects of our strategy demonstrated during the quarter. First of all is the result that we achieved was achieved even with the reduction in the iron ore flat price, that went down $9.00 on average in comparison to last quarter, and in spite of the truck drivers' strike that basically stopped the whole country for several days. And Vale, in this circumstance, was able to beat records in production of iron ore and sales of iron ore, therefore showing our great flexibility. Meanwhile, the reason why we overcame the price reduction in the flats is because the price realization of Vale has increased by $7.00 in this quarter. I would like to emphasize as well the fact that we are thinking costs, and we are thinking costs long term. And we are thinking short term and long term as well. Long term, in this case we are talking about this recent announcement of 48 new ships that will be built for the utilization of Vale. And most importantly, they will represent a reduction in freight for Vale of $5.00 per ton in comparison to the average freight of Vale as of today. But the most special thing that I would like to emphasize and put light on, is in capital allocation. We achieved the indebtedness that we were looking for, close to $10 billion of net debt by the end of the quarter, and this gave us the opportunity to start a number of movements that demonstrate very clearly how Vale is treating capital allocation. First, we transformed a potential large investment in Voisey's Bay into a highly profitable one through cleaning of cobalt. And this emphasized the fact that we are open to business if we can find investments that are very accretive, as this was the case. Secondly, we have started our dividend payment according to our new policy. For the first time, we are going to pay a little more than $2 billion next September regarding the results of this semester, therefore a very good achievement for the company. And finally, representing the thrust of the company, we remain performing and delivering. We are announcing a buyback program of $1 billion. That represents our decision to invest in stock of the company, that it is by far the best asset that the company knows and that we can buy it without a premium in the market. So this is a very quick summary of what has happened in the semester. Now I am going to pass to Luciano that will give a more clear view of how the operation went in the last quarter.
Luciano Pires: Good morning, everyone. I would like to start by addressing iron ore C1 cash costs. You saw the very steep depreciation of the Brazilian real in the quarter. And one would expect, given the exposure of Vale to the Brazilian real, C1 cash costs should have come down by about $1.00 per ton, and why it didn't happen. Four factors are nonrecurring in the second quarter and should not be present in the third quarter. And in addition, with the volume dilution that underpins our forecast, we are going to be substantially distinctively below $30.00 per ton in the third quarter already. Talking about those four factors, two of them are directly related to the truck drivers' strike, like Mr. Schvartsman mentioned. $0.30 per ton was a direct effect of increasing costs because of the way we dealt with the strike and the list of things that we made that increased costs. Another $0.30 per ton were caused because of the lack of feed for direct reduction pellets in our pelletizing plant, so we had to reschedule some of the ships and we paid the mortgage for that. And the lack of feed came from the lack of inputs for our processing plants, which could not produce then the necessary feed and the necessary quality to feed our direct reduction pellet plants, so the merged cost is about $0.30 per ton. Then there are maintenance costs which are typical the second quarter, which is the quarter in which we prepare Vale's operations for the tremendous growth in volume that usually happens in the third and fourth quarter, so there's a $0.30 increase in maintenance costs that should come down as well. And finally, now that we have more inventories along the chain, it takes longer for reduced production cost to flow through the cost of goods sold, so that's another $0.30 per ton of carryover from the higher costs of the first quarter towards the second quarter. So in the third quarter, in the absence of all of these effects, costs should be, because of this, $1.00 per ton lower. And because of volume dilution, we expect 9% to 10% increase in volumes over the third quarter, another $1.00 per ton at least reduced. And then we'll see if the exchange rate will continue to provide -- as of today, the exchange rate is higher than the average for the second quarter. Base metals cost and coal, certainly you will have the opportunity to discuss with my colleagues, so let me jump to expenses. I always talk about the pre-operating expenses. They came this quarter at $67 million. And my point here is that they should be approaching zero very soon, by the end of the year. Because as indeed pre-operating expenses should come down to zero, pellets pre-operating expenses should come down to zero given the restart of our pellet plants, the three pellet plants that come back in 2018. And also the Mariana operations, we had maintenance costs because of the conveyor belt that was damaged, and now it's coming back as well. So this is an expense line that should come to zero. R&D expenses increased. That is expected from the first quarter. However, we'd like to underscore the quality of the R&D expenses. Part of it goes to our digital transformation program, which will bring results very soon. And part of it is exploration expenditure especially in the Carajas region, especially to generate and to accelerate the growth options in copper in the region. So this is to bring good news also soon. Financial expenses also compared to a year ago are decreased by about 30%. This is the side effect of the reduction in indebtedness. And obviously, we also expect those expenses to come down substantially over the next quarters as we retire more debt. I'm sure you noticed also investment is coming at a very low number, $705 million. This shows our commitment to capital discipline. Obviously, it is going to go up, especially sustaining investments given the approval of, for example, Voisey's Bay mine expansion. But this is a testimony to our commitment, and you should look forward over the next two years to very well behaved capital expenditures. Finally on cash flow, conversion of EBITDA into cash was very good without any detractors. There was a $200 million equivalent built up in inventories, as you saw given the sales lower than production, but nothing remarkable except the good conversion. Net debt, a significant decrease in the third quarter. We are expecting a smaller decrease because most of the cash flow generated in the third quarter will be funding the dividend payment in September. But still, we will approach even more the $10 billion net indebtedness. And if prices stay where they are, we should then -- and depending how the buyback goes, we should pierce the $10 billion target in the fourth quarter. And therefore, then we will engage in discussions of what to do with this additional excess cash. The dividend we are declaring, $2.05 billion, represents 53% of underlying earnings, and this is what we expected. So although we had a policy based on EBITDA, our expectation is that this is going to be the range of income payout ratio going forward. Having said that, we should jump into Q&A straightforward.
Operator: [Operator Instructions]. Our first question comes from Carlos De Alba, Morgan Stanley.
Carlos De Alba: Congrats on the very strong dividend and share buyback. So the question has to do with Samarco, if you maybe, Fabio, could give us an update as to what are the latest developments for the operation to come back and start producing, and also particularly if there is any progress on the conversations with BHP, potentially one of the two companies becoming the sole owner of Samarco, and if this is still a possibility and Vale ends up with Samarco, with 100% of Samarco, how would the consolidation of Samarco's debt affect the $10 billion net debt target and the possibility to pay more dividends next year. And then the second question that I have has to do with the increase in costs that we saw in VNC. Could you comment a little bit on what we should expect for the remaining of the year and 2019? That operation had been delivering quite good performance with a positive trend. There seems to have been a hiccough last quarter, but I just would like to see if it is something relatively temporary or we should factor in higher costs for a little bit longer. Thank you.
Fabio Schvartsman: Regarding Samarco, let me say very definitely we had pretty good progress recently regarding the legal actions against the company and the shareholders of the company. That has eliminated a cloud over the business. That helps for the possibility of starting up again the operation of Samarco. So we are now more than ever 100% focused in bringing Samarco back on stream. For the sequence of your question regarding BHP, I have to tell you that it is of minor importance for Vale, and I guess for BHP, this issue right now. We are 100% focusing what can be done in order to speed up the return of Samarco. And even if and when a deal regarding BHP and Vale will be made, the point that has to be understood, there is no business benefit here. The purpose is solidly on the benefit of returning Samarco. That's the way Vale is looking to it, and I'm pretty sure it's the same way that BHP is looking to it. So unfortunately, it's less of a business opportunity and more a social obligation that we are taking into consideration together with BHP. Second, regarding VNC, I would like to give a clear view on where we are. We are now better than we were a year ago, the company. The carrying cost of VNC has disappeared. We are not paying for operating this company. This is a much better situation than we had before. Nevertheless, the fact remains that this is an operation still to be stabilized, and it is the most complex operation that Vale owns. Therefore, the decision what to do and when to do it is not taken yet. So we are looking into options, basically because everybody knows that we have -- if we are continue with the operation in New Caledonia, we have to build a new tailing dam there. And this decision has to be taken until the end of the year. So we are going to reach a final decision of how to fund it and if we are going to make it or not until the end of the year. Soon that occasion, we will let you know what is our idea on the future of VNC.
Operator: Our next question comes from Thiago Lofiego with Bradesco BBI.
Thiago Lofiego: Just one follow up question from the Portuguese call, back to the capital allocation issue. When should we expect Vale to initiate a new growth cycle, even if a more modest one? We understand the company's really focusing on dividends right now. The net debt level is close to the target of $10 billion. But just looking 2 or 3 years, 4 years out, when should we expect Vale to start investing in growth projects again? You guys have mentioned about potential projects on copper, eventually energy logistics in Brazil. So what's the mindset of the company regarding those at this point?
Fabio Schvartsman: Thiago, thank you for your question. We have a very clear stated policy for dividends in the company, so we will be paying dividends in the future according to this policy. It doesn't mean that it will demand all of our cash flow for this payment. A further decision what to do with the additional will be made in any given moment comparing alternatives. So this time we decide to make a buyback because it was clearly the best option for creating value for shareholders, and we are going to continuously do that. Nevertheless, we are announced the investment in Voisey's Bay. Why? Because we think that the return on investment there is such that we will certain going to create value for shareholders. There is not such a thing in our mindset that is a growth season or a dividend season. Actually, we have a dividend policy, and we are going to use the excess cash either to distribute more or with buybacks or in projects, if any, and if the returns are deemed adequate. So the decision will be made at any given moment.
Operator: Our next question comes from John Brandt with HSBC.
Jonathan Brandt: I first wanted to ask about the freight rates. There's some new legislation coming in in 2020 that will require lower sulfur content. I know you've to some extent mitigated that with the new freight contracts that you had in your results today. I'm just wondering how exposed you are to this if we look at the current fleet of vessels. Is this something that is still an issue, and what steps you could take to mitigate it? And then secondly for Luciano, I'm just wondering if there's any more to do on the liability management side and how we should think about interest expenses. Obviously, they'll continue to come down in the next quarter or two as you pay down net debt. But is there anything left to do on the refinancing side? Are there other liability management options that you're considering, perhaps buying back the stake in MBR or on the debentures?
Peter Poppinga: Jon, it's Peter speaking. So as you pointed out, this is something important, a structural shift coming in January 2020, the IMO. And Vale's action plan is to progressively install scrubbers in order to progressively depend less on the low sulfur oil, because we don't know how fast the refineries will react to this new demand. But as a rule of thumb, in a nutshell you can work with the following equation. So there will be an increase in cost. Let's say the low sulfur oil costs $2.00 more than the high sulfur oil as a spread, if you believe in that. Then the average rate cost we have today will be roughly the same if you take into account the fact the average freight rate in 2023, because what we are going to do, the scrubbers will reduce this delta, this gap to the low sulfur, in $1.80. The new guaibamax coming, this third generation we just announced, will also reduce it $1.00. And the valemax second generation, which is coming on stream now, we already have seven in the sea, is also reducing $1.00. So all this together, the scrubbers, the guaibamax, the third generation, and the second generation valemax coming in, will compensate this increase in the spread between the two oil categories, provided -- it is always the worst case. If, of course, the refineries react and the spread narrows, then we will be much better off.
Luciano Pires: Jon, on liability management, we continue to look into and to do liability management. If you look at the statement of cash flow, you will see that we've actually retired $2.6 billion in debt this quarter, but we issued another $700 million in debt. Some of the capital providers now are coming to us with very cheap and low attractive rates, so we continue to extend the duration of our debt. Some of these lower debts we made are replacing others that would mature in the short term. So yes, we will continue to do that exercise. We'll continue to have loans which cost more than they should, given the current financial position of Vale. And as regards MBR, it is one of the many opportunities that we have to use our capital. And we will be comparing it to other alternatives when we have -- in order to make a decision on the MBR stake.
Operator: Our next question comes from Alex Hacking with Citi.
Alexander Hacking: First, I just wanted to follow up on the freight, Peter. I just wanted to clarify the new ships with 62 million tons of capacity. Will that be incremental freight capacity for Vale, or that will be replacing some other long term contracts that were rolling off? And then my second question is just broader, to do with capital allocation. And could you maybe discuss the framework when you're deciding about capital return on buybacks versus dividends?
Peter Poppinga: Alex, no, this third generation we just announced, the 48 ships, which we are calling guaibamax, 325 deadweight, that's new capacity coming and will be replacing, of course, some older contracts or even some capesize. These are very large oil carriers, and they come on top of the existing fleet.
Fabio Schvartsman: Excuse me. Just to clarify, your second question was regarding dividends against buyback, right?
Alexander Hacking: The question is how are you -- when you return capital next year above and beyond the stated policy, how will you decide between buybacks and dividends? What's the framework for that decision?
Fabio Schvartsman: That's a good question. I can explain to you how we reached the decision to pay a dividend according to policy and have an additional -- do a buyback. And the reason in this moment was basically the following. We have just announced these new policies. It was, in our point of view, very important to demonstrate that this is a policy that is here to stay and we are going to follow this policy. Therefore, we thought it would be better in this moment not to have more dividends but instead to give it back to shareholders through a buyback, that it is equally at the benefit of the company and, more importantly, it gives a very important sign of how the management sees the future of Vale, because we are very positive in the return on the owned investment that we are going to make in this buyback. What is going to happen in the next year, that gives us the flexibility that we are going to hold. It will depend in evaluating the situation in any given moment. We are going to analyze and see which is the best for the company, to pay more dividends than the policy or should we pay more through buybacks again. But this will be decided when the time comes.
Operator: Our next question comes from Grant Sporre with Macquarie.
Grant Sporre: I have two questions, please. The first one is regarding the coal division. Firstly, can you just give us an outline as to how you see that division sort of improving its performance going forward? And akin to that, if you can give us some guidance on the costs or how we should think about the costs going forward, particularly the Nacala tariffs. And my second question is just in the iron ore division. Under a scenario perhaps in the second half or later in the year, if we have let's say a slowdown in the market, would you still -- are you still flexible to being able to take down some tons in the southern system perhaps to let's say support the market or be a bit more market friendly?
Peter Poppinga: Let's start with the iron ore, if there is a slowdown in market, which we don't see coming so soon. But if there is something cyclically happening, yes, the first thing we would do is to reduce our third party purchasing, which is around 10 to 15 million tons a year. And second, yes, in southern system ore and other small mines, we have mines we could reduce or shut down temporarily where we have the lower margins. So that's a possibility, and that's our flexibility. And then we would manage, of course, our contracts through our offshore inventories. Regarding the coal, actually we have had some success. We are thinking about 2018, this year, as a year of stabilization, a year of trying to put things in order with a philosophy of the iron ore business, the iron ore as helping the coal price to achieve that. We had already good progress on the commercial front where the price realization is getting better and better. The OpEx came down a little bit this quarter. But what we are doing is deliberately fixing some problems and deliberately maybe sometimes slowing down some areas. To give you an example, we have some waste. The strip ratio was behind schedule in some specific areas, so we took the decision to recover that strip ratio to normal levels. And we are drilling much more now in order to get better planning possibilities, as well as one very important thing which also affects the mix, the yield of metallurgical coal to thermal coal, which is slightly below 60 now. This is the decision we took to mine out a certain pit called Sole Pinto, where there is some ore still there but we need to mine that out in order to use this pit for the new tailings dam to avoid to build the new tailing dam. So you see there is lots of actions we could mine better, but we are deliberately going for the more sustainable preparation for 2019 in order to get more sustainable operations. And if you take out the tariffs for the loans, for the project finance instruments, if you look down the road we see OpEx around $60.00 a ton.
Luciano Pires: And the tariff also has an important fixed cost component, so therefore with increased volume it should come down. We are expecting it to stabilize between $20.00 and $25.00 per ton.
Peter Poppinga: Which adds then to the $60.00.
Luciano Pires: Exactly, and the return to Vale between $5.00 to $10.00. So all in, it should be a pro forma cost that you can see in the release, around $80.00 per ton.
Grant Sporre: Just to clarify, the tariff is basically a fixed cost. It's not a variable cost.
Luciano Pires: It has variable components as well, because the logistic scorecard has to pay some -- has some obligations of the concession which are variable. You may argue that some of the maintenance costs are variable as well, depend on volume, because it pays for everything. It pays for -- yes, there's two components. But the debt service component is mostly fixed.
Fabio Schvartsman: From which we proceed.
Luciano Pires: Yes, most of it is fixed.
Operator: Our next question comes from Alfonso Salazar with Scotiabank.
Alfonso Salazar: My question goes back to future growth. I understand that right now the priority is in dividends and the buyback. But if the opportunity arises later on to grow through M&A, is there any preference in terms of commodity or any possibility that Vale diversifies away? I understand you want to be less exposed to iron ore in the future. So what do you think could make sense for Vale's portfolio? And regarding the logistics and energy, what are your plans to unlock value there?
Fabio Schvartsman: Regarding diversification, it is important to emphasize that we are totally dependent upon the work that Eduardo Bartolomeo will do in base metals, because this is our real diversification. This is what we will be looking for, is to increase the stake of base metals in our total cash generation. So yes, we want to be more diversified, but the diversification has to happen internally through the effort that we already made in the past. We are not looking into any other acquisitions that will represent a diversification additional to the company.
Alfonso Salazar: And regarding the logistics and energy portfolio that you own?
Fabio Schvartsman: Actually, our policy for energy is a very clear one. We want to be self-sufficient in the production of energy because in Brazil, regarding taxes and transportation cost, it's very efficient return-wise when you are self-sufficient, and we are far from that. That means that we have a lot of opportunities to increase our stake in energy for the purpose of reducing our total cost in our operations. In logistics, we are again in the opposite position. We want to increase our stake in VLI as of today because we think that VLI is a very good operation with a fantastic upside. So if there is an opportunity, we are going to increase and not decrease our participation in VLI.
Operator: Our next question comes from John Tumazos with John Tumazos Very Independent Research.
John Tumazos: I'm a shareholder and I couldn't be happier. The production in the first half was below the rates of the Vale Day guidance December 6 in each product line. Will the second half catch up? And the first half rate was 35% short in coal. What do you think the total coal production will be this year and next year?
Peter Poppinga: Peter speaking. Yes, what we think and we are keeping our guidance of around 390 million tons production in this year. That means in the second half of this year we are going to produce -- in both quarters we are going to produce over 100 million tons. For your information, in June we already are close to this pace. Regarding coal, we are really analyzing during this quarter all the actions we have taken in order to recover the production loss. And we will probably then analyze it and, if the case, we are going to pronounce and talk about the new guidance in the next quarter.
Operator: Our next question comes from Tyler Broda with RBC.
Tyler Broda: I just have a quick question, perhaps for Peter, just on some of the changes in the iron ore market. We've seen a big increase in the discounts for elements like alumina and phosphorus. I was wondering if you could describe, in your view, how much of this is Minas-Rio being out of the market, or is this more just the natural progression now with the changing blast furnace size in China? And I guess, in your view, what level of profitability would you need to get to in China to move the market away from the structural trends that we've seen recently?
Peter Poppinga: I stated in the previous call that I do believe this is a structural trend. It has to do with three facts, actually; the fact that the Chinese concentrates, which have a very low alumina/silica ratio, dropped and went out of the market substantially in the last years. Vale itself took out some high silica products which happened to have low alumina too. And then there is the whole depletion going on, and it will get worse not in terms of quantity but in terms of quality, alumina wise, phosphorus wise, in Australia. Therefore, I don't expect this to change so drastically. That explains also why our new product, the flagship that we have, the Brazilian blend fines, which next year will become our biggest volume of sales, why this is so successful. We are achieving premiums of $5.00 to $7.00 over the $62.00 benchmark. We also have a niche -- developed a niche product called low alumina synthesis which comes directly from terminal, and this is achieving actually $10.00 premium in certain segments. So we believe this is here to stay, and actually what we believe is, if there is a change in margins of steel mills or in the coke price which will actually reinforce the existing trend for productivity which comes from the supply side reform. So we don't see this changing, and it's a tremendous opportunity for Vale to differentiate itself. This is what we are doing. We first differentiated ourselves with the 65 Carajas premium, and now we are going to differentiate further progressively with the Brazilian brand fines in terms of low impurities.
Operator: Our next question comes from Aman Budhwar with Westwood International.
Aman Budhwar: Actually, my question that I had in mind was along the same lines of the previous question. In the second quarter, you had average premiums of $7.00. I just wanted to know what you think are the sustainable premiums, and also if you can comment on your competitors. We've heard various bits and pieces of news of other players also trying to upgrade their product, and you did mention in your previous remarks that Australian product is depleting. But if you can, talk about any of your competitors and their strategy and how they might benefit from this to the detriment of Vale, if at all.
Peter Poppinga: Yes, this is a trend. Of course, nobody is standing still. What you see is lots of initiatives happening in Australia. FMG announced their Eliwana project which has high FE content. You have others like BHPB and Rio announcing South Flank and Soda Flats. And then you have the Yande depletion coming, looming in the next years. So this means there is a structural -- the quantities will be there, but the qualities will be different. And they may achieve the same FE content, but the impurities will be not the same. That means the alumina/silica ratio will go up, which helps our premiums. And that's where we differentiate ourselves. So you mentioned the $7.00 premium in this quarter. It will go up. It will go up in the next -- of course, cyclical elements will be there, but it will be going up. For instance, the new BRBF we are selling to the market, we have some contracts where we don't have those premiums, right? And we are a company honoring our contracts. But the market will, in the next quarters and years, realize that this is a new trend, and it will be priced accordingly to the benefit of everybody. So I think we are in a very good moment. And again, we are differentiating ourselves from our competitors through the premium products.
Fabio Schvartsman: I just want to complement what Peter has just said just to emphasize and make it clear. The factors that are going to increase our price realization of premiums are, first, we have more volumes coming out of Carajas. Second, we have more pellet production coming into stream in the next few quarters. Third, we have this BRBF that was explained by Peter that we are going to renegotiate contracts. And therefore, during time prices will react accordingly to the premiums that the market has seen today. So all in all, all these models translate into premiums increasing during time. So we are very keen to the fact that you are going to see next quarter, for instance, that premiums will continue to increase.
Peter Poppinga: And just to finalize in it, the other fear that the market has, that Carajas will have excess volume coming because we are still ramping up in R&D. That is not a concern for us anymore. We are selling Carajas to -- we are completely sold out in terms of Carajas for the next years. We are selling Carajas into different segments like Eastern Europe, like some volumes to India. We are feeding Carajas fines into our own pellet plant in order to maximize productivity. And in China there is opening up a big opportunity for us, since China is investing very much into the pellet business because of the pollution, because of the supply tariff reform. I don't know if you know, but it's roughly -- they are investing roughly the capacity of 50 million tons, new capacity of 50 million tons of pellet production capacity in China with traveling grade technology, which means they can use hematite ore. 50 million is the size of the whole Vale. Our pellet business is 50 million tons. So where is the feed going to come from for this new capacity? And we hope and we expect that part of this new demand will exactly come from the Carajas fines, which will be ground and will therefore be absorbed by this new market opportunity, so no excess volume at all anymore in the market of Carajas fines.
Aman Budhwar: Just as a follow up to that in terms of investments happening in the Chinese market, we've also heard various reports about them investing in electric arc furnaces and then developing the scrap market, which over the long term would be a threat, I guess, to the iron ore market as a whole and especially to Vale. In the short term, I guess that's not -- from what we have heard, has not taken up as much due to the cost differential of scrap being higher. But do you think that is a threat that, of course, the market is worried about, but is Vale concerned about the threat from electric arc furnaces taking up market share from blast furnaces in China?
Peter Poppinga: I think of course these is this element structurally there. China will have more obsolete scrap generated in the next years. But the scrap story is a really long term story. It's roughly 10 years out. And it has to be structured first in China. First of all, the electric arc furnaces, the -- energy is not cheap in China so electric arc furnaces do use a lot of energy. The scrap distribution channels in China are not organized. And so of course there will be some effect, but I don't expect this to be in the short or medium term. It will be in the long term.
Fabio Schvartsman: And in this movement, they will need at least a portion of pellets of high quality for the production of steel in classical furnaces. And therefore, the feed for it will mostly come from where it's going to come today, from Vale. So it is obviously always a concern we are following very closely. But not only it is a long term concern, but even when and if it happens, the market will adapt to another structure as it happened in the U.S., where we are selling our pellets to all the electrical furnaces there.
Operator: Our next question comes from Gustavo Gregory with Bradesco BBI.
Gustavo Allevato: I have a quick question regarding the debt. I'm trying to understand here, with the net debt target being right around the corner, should we expect further reductions in gross debt? And to that point, where would the company place gross debt reduction in its priority vis-a-vis other capital intensive activities such as an extraordinary dividend or the purchase of new shares, or even the purchase of new assets?
Fabio Schvartsman: Look, in the same proportion that we are reducing net debt we are going to reduce gross debt. That means that it is our total priority. It is being performed this way and it will continue to be performed this way.
Operator: Our next question comes from Marcos Assumpção with Itau BBA.
Marcos Assumpção: A quick follow up on the BRBF, Peter. The premium on BRBF is quite new to us and it has varied a lot in the recent months, right, according to the chart you put in the press release. So it was below $2.00 in May and above $10.00 in July, so if you could explain to us the main reasons why it varied so much and what is the sustainable level that you think should be in place going forward. And a second question for Eduardo. You mentioned in the previous call about the trend of electric cars becoming a reality. So I'd like to hear from you what is the company's view on the size of the potential market and where will the growth come from.
Peter Poppinga: Look, the BRBF is in fact a recent story, that it's become so explicit in the market, but it was always there. The difference is that we have changed our policy in terms of sales. We are not selling at index anymore. We are selling at fixed price. That means that BRBF is becoming part -- more and more of the price formation of the 62 index, okay. And the reason -- that is the first answer, why is it becoming so clear now. And the reason why it happened two months ago is simply the fact that, if you look at the stockpiles sitting in China, you see that Australian material is piling up and Brazilian material is decreasing. And that's not because Brazil is not delivering volumes. It's because the demand of Brazilian ore is higher than the demand of some of the Australian ore. And that means the premiums. So the structure -- that's why I'm saying on the depletion. I told the alumina story. There is some fundamental unbalance in the market which now becomes very explicit, and the market will have to react to that. For the moment, the market is reacting, giving Brazilian blend material higher premiums. And we expect them to increase a little bit in the future and then probably stay at those levels.
Eduardo Bartolomeo: Marcos, just to give you some clarity on the story, I think it is a play that will impact Vale a little bit that's coming. Let me say the company has that expectation. The question is always exactly how fast and how big is the trend. This year we're talking about a 38,000 ton demand for our batteries, pure nickel for battery. So it's almost relevant, but very, very -- how can I say, but not of impact. But taking a scenario that we could go from aggressive to government decisions that have been taken around the world, we can see '25 from 350,000 to 500,000 pounds of nickel. That takes all the excess capacity that has today on class 1 that has been fed into class 2. So we are positive. We always work in a conservative scenario to do our homework here. That has to be done, as we mentioned in the previous call. We need to organize our house to be ready for this growth, but the growth is coming. And mainly, as we are a China addict, we believe that it's a China play. Although there was initiatives coming from the U.S. and Europe is always concerned about the environment, I believe that the true driver behind the growth of EVs is China due to multiple factors. It's relevant for the pollution. That is impacting iron ore, as we are talking all the time. It's relevant for the geopolitical, so they're going to build a new industry around the EVs. It's relevant for their grid. They're going to have to store all the renewables that they have. So for China, it's a no-brainer. They already produce in the range of 1 million cars a year this year. It's obviously a game, but it's a game that we are really conservative on how we approach it. So we're really focused on our homework to be ready for that. But just giving some numbers to you, it's now 38 and we believe it's going to be 350,000 to 500,000 in 2025, okay?
Operator: This concludes today's question and answer session. Mr. Fabio Schvartsman, at this time you may proceed with your closing statements.
Fabio Schvartsman: Thank you again or once more. It was a pleasure to have all of you in this call, and I hope to have you back in the next one next quarter. In order to finalize, I just want to emphasize that the company will continue to perform the same way it has been performing so the capability and the stability of the company is there. We are hoping to get in the next quarter the same kind of results or even a little better than the results the company had delivered in the former quarters. So thank you so much for all of you, and have a good day. Bye-bye.
Operator: That does conclude Vale's conference call for today. Thank you very much for your participation. You may now disconnect.